Operator: Good morning. My name is Christie, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Fourth Quarter 2010 Earnings Conference Call. [Operator Instructions] Thank you. Ms. Amy Giuffre, Director of Investor Relations, you may begin your conference.
Amy Giuffre: Thank you, and good morning, everyone. Welcome to Harley-Davidson's Fourth Quarter 2010 Earnings Conference Call. This call is being webcast live on harley-davidson.com, where you will also find slides containing supporting details. These slides can be accessed by clicking on Investor Relations, then Events and Presentations. Our comments today will include forward-looking statements that are subject to risks that could cause actual results to be materially different. Those risks include, among others, matters we have noted in our latest earnings release and filings with the SEC. Harley-Davidson disclaims any obligation to update information in this call. This morning, we'll hear from Harley-Davidson's CEO, Keith Wandell; CFO, John Olin; and President of Harley-Davidson Financial Services, Larry Hund. At the close of prepared comments, we will open the call for your questions. [Operator Instructions] So let's get started. Keith?
Keith Wandell: Thank you, Amy, and good morning, everyone, and thanks for joining us on the call. As you saw in this morning's press release, Harley-Davidson made great progress in 2010 on restructuring our company to take advantage of the opportunities that we believe lie ahead. First, let me say just how much our entire leadership team appreciate all the extraordinary work by our employees to achieve these results and make this transformation possible. We dealt with a lot of change in a short amount of time, and our employees have truly done a great job. I'd also like to thank our dealers for all their hard work to bring a great Harley-Davidson experience to customers in what has continued to be a challenging business environment. Let's take a quick look at where we are, what we've achieved and where we're going. Through our strategy to deliver results through Focus, which we rolled out in late 2009, we've been restructuring the business and focusing our investments in ways that will strengthen the Harley-Davidson brand, lower our cost structure, foster continuous improvement and promote growth in the U.S. as well as globally. And while we feel good about all that we've achieved, we know it's crucial for us to stay fully on the throttle here.  In 2011, we will continue the important work of transforming our manufacturing operations, our product development capabilities to be more lean and world-class, and these initiatives are key when it comes to our ability to bring new innovative products to the market in a more timely manner and to grow. In manufacturing, the transformational new labor agreements and structural changes in Pennsylvania and Wisconsin will, when completed, provide the seasonal flexibility, model mix flexibility and efficiency improvements that we expect will allow us to be more responsive to market demand and deliver greater returns. This week, we will begin labor negotiations in Kansas City to address these same issues of competitiveness, flexibility and efficiency. Now our overall goal is to having world-class, team-based, lean operating structure across all our production operations with continuous improvement and standardized processes at the center of everything we do. Turning to product development. Our new products are hitting the mark. For example, more than 2/3 of the SuperLow sales are to customers new to Harley-Davidson, and we believe the new Blackline motorcycle, unveiled last weekend, will further bolster our market penetration among young adults, where we already hold the number one share position. Our transformation in product development is focused on improvement in two key areas. One is to reduce the time it takes to run new products to market through lean engineering methodologies, and the second is to increase our development capacity to simultaneously handle more product development initiatives through best-in-class planning systems. Now here, too, we've laid a lot of ground work and are well on our way. Over the coming years, we will begin to see the fruits of these efforts. So in summary, 2010 was a very busy year for us, and I'm extremely proud of all our accomplishments. As we look forward, all these changes will allow us to be more customer-led in everything that we do. For 2011, we continue to have a measured outlook, while at the same time, we're encouraged by indications of a strengthening economy, and we anticipate further improvement in our performance. So I'll be back later in the call for questions. Now I'd like to turn it over to John Olin, who will walk us through the numbers.
John Olin: Thank you, Keith, and good morning, everyone. I'll review the financial results starting on Slide 9. We'll start with the fourth quarter results. During the quarter, Harley-Davidson Motorcycles and Related Products revenue was up 20%, behind a 23.8% increase in shipment of Harley-Davidson motorcycles. Our financial performance included significantly improved gross margin as we lap last year's fourth quarter, which included Buell exit costs. In addition, restructuring spending was over $100 million lower in the fourth quarter of this year compared to last year. Despite the improved performance in the fourth quarter from the Motorcycles and Related Products segment and another very strong quarter from HDFS [Harley-Davidson Financial Services], we recorded a loss of $42.1 million for the quarter. The results were impacted by a onetime charge of $85 million and a repurchase of $297 million of high-interest debt that we issued in February of 2009. As compared to prior year, our fourth quarter income from continuing operations improved by $105.1 million. Moving on to retail sales on Slide 10. Worldwide retail sales of new Harley-Davidson motorcycles were down modestly in the fourth quarter. We were encouraged by the fact that the quarterly retail sales decline moderated from prior quarters. However, we remain cautious as we move into 2011, given the fragile global economic recovery, which is characterized by high unemployment, low consumer confidence and depressed home values. In the U.S., retail sales in the quarter were stronger than expected, down only 0.2%. For the full year, U.S. retail sales were down 11.7%, however, our full year market share strengthened by 1.6 percentage points to 54.9%. In the international markets, retail sales for the quarter were down 2.1%, which was in line with the full year decline of 1.9%. Fourth quarter retail sales in the Europe region were down 8.9% compared to last year. The year-over-year decline was partially driven by earlier availability of new model year motorcycles in Europe, which, in effect, pulled sales up into the third quarter and drove a retail sales increase of 11.4% in the third quarter. Through November, our market share in Europe increased 0.6 percentage points to 12.7%, which moved up into the second place in market share for the Europe region. Asia-Pacific region was up 3.4%, driven by incremental sales in our expansion markets including India. All other international region results are noted on the slide. For the full year, worldwide retail sales were down 8.5% compared to 2009. On Slide 11, you will see wholesale shipments of Harley-Davidson motorcycles in the quarter were within the expected range of 41,000 to 46,000 units. Shipments for the quarter were up significantly compared to last year when we slowed production during the fourth quarter. Sportster, as a percent of total shipments, was 18.3% in the quarter, 5.4 percentage points higher than last year's fourth quarter when we shut down Sportster production to right-size Sportster inventory in the dealer network. In 2010, international shipments were up as we continue to focus on growth in international markets. As a result of reduced full year shipments and stronger-than-expected fourth quarter retail sales, U.S. dealer networks' year-end inventory was down 11,800 units compared to last year, which you'll see on Slide 12. This is the lowest level of dealer inventory in many years. During the fourth quarter, retail inventory dipped below what we believe is an appropriate level, and we expect that a portion of dealer inventory will be replenished as we continue to aggressively manage supply in line with demand. The dealer network has also been collectively managing the businesses through the downturn. For example, many dealers have enhanced their revenue by increasing used bike sales. Used bike sales in the dealer network were up double digits through November. Despite dealer efforts to improve revenue and manage cost, the profitability has been impacted in the downturn. Still, we believe the U.S. dealer network in aggregate remains profitable. In the U.S., 36 dealer points closed in 2010. This contraction was expected and in line with our desire to modestly consolidate our U.S. dealer network in response to lower overall volume since the economic downturn took hold. On Slide 13, you will see revenue for the Motorcycles and Related Products segment was up significantly for the fourth quarter and down slightly for the full year compared to last year. During the quarter, average revenue for Harley-Davidson units sold increased $326 from the prior year as a result of favorable product mix, lower year-over-year sales incentives and foreign currency exchange. Turning to restructuring on Slide 14. For the last two years, we have been intensely focused on improving our cost structure and transforming the business to be stronger and more profitable in the future. During the fourth quarter, we incurred $18 million in restructuring expenses and $164 million for the full year, which was lower than anticipated. We have adjusted our projected restructuring cost to reflect the lead time [ph], defined timing in 2011 and reduced our total expected program cost due to favorability to date. We now expect cost in 2011 to be between $85 million and $95 million. But total expected costs associated with our restructuring had been reduced $10 million to $25 million, and we now expect to be at $495 million to $510 million. As of the end of the year, we realized $172 million in annual ongoing savings, which is more than anticipated for the year. We are very proud of the organization's focus on and execution of the highly critical restructuring initiatives. We continue to expect total ongoing annual savings of between $290 million and $310 million upon completion of restructuring activities. On Slide 15, you will see gross margin in the quarter was 29.6%, 9.3 percentage points above the same quarter last year. This was primarily driven by four things. First, the absence of Buell exit costs that were incurred in the fourth quarter of 2009. Second, a richer mix of products. Despite a higher percentage of Sportsters, the product mix overall was rich, driven by strong Touring and CVO sales and a high rate for the power pack and ABS options. Third, foreign currency exchange was favorable. And fourth, manufacturing was favorably impacted by strong productivity, incremental margin on higher volumes partially offset by temporary inefficiencies associated with the transition of non-core operations out of York. For the full year, gross margin was 34.2%, which was up nearly two percentage points compared to the prior year and exceeded our full year guidance range of 32.5% to 34%. We are pleased with the gross margin strength of the core business in 2010 despite motorcycle shipment declines of 5.6% from 2009. On Slide 16, operating margin as percent of revenue for the fourth quarter was negative 0.7% versus negative 29% in 2009. Operating margin was favorably impacted by increased gross margin and lower year-over-year restructuring costs. SG&A in the quarter was largely flat to 2009 and was adversely impacted by charges associated with the efforts to expand our presence and network of dealers in Brazil; the accruals for employee short-term incentive pay or STIP, which did not occur last year; and the continued execution of our growth strategy. Largely offsetting these costs was the fact that last year's fourth quarter was negatively impacted by approximately $19 million of warranty and recall charges that did not repeat in 2010. For the full year, SG&A increased $34 million from 2009, largely a result of the charges associated with Brazil, STIP and future investment and growth. Higher SG&A on a full year basis coupled with lower revenues resulted in an increase of SG&A as a percent of revenue from 19.9% to 21.2%. As we look forward, we will aggressively manage our expenses while continuing to prudently invest in our growth opportunities. And as we have previously stated, we expect the SG&A to decline as a percent of revenue between 2009 and 2014. Now moving on to our Financial Services segment on Slide 17. In the fourth quarter, HDFS posted a $43.5 million operating profit, an improvement of $51 million compared to last year. The key drivers of the fourth quarter 2010 results were net interest income, which was favorable by $48.7 million compared to last year as a result of the increase in on-balance sheet receivables and an improvement in the net interest spread as the costs to fund the HDFS increased, which included the impact of transferring higher interest rate debt from HDFS to H-D Inc. in 2009. Next, the provision for retail credit losses, which is associated with all on-balance sheet retail receivables, decreased by $12.7 million, primarily due to improved credit loss rates as the result of favorable retail receivable performance. Next, the impact of the provision for wholesale receivables was unfavorable by $5.5 million during the quarter compared to last year as we worked out of certain dealer credit situations. For the full year, however, the provision for wholesale credit losses were favorable by $7.9 million. And finally, operating expenses were up in the quarter and full year by approximately $7 million. On a full year basis, the operating expense increase was driven by the restoration of HDFS and short-term incentive compensation as there was none earned in 2009. On a full year basis, HDFS posted an operating profit of $182 million, an increase of $300 million compared to last year. And we're very pleased with the improvements in HDFS's business, which have benefited from lower cost of funds, significantly reduced credit loss rates and the fact that HDFS recorded $101 million of onetime items last year. Now, Larry will provide more detail on HDFS's operations. Larry?
Lawrence Hund: Thanks, John, and good morning. During the fourth quarter, HDFS originated $306 million in retail motorcycles levels, up 7.7% compared to the same period last year, primarily due to higher used motorcycle loan originations. For the full year, HDFS originated $1.8 billion in retail motorcycle loans, down 7.9% compared to last year, primarily due to lower retail sales of new motorcycles in the U.S. For the full year, 80% to 85% of our new loan originations were prime compared to our historical experience of approximately 75% prior to significant underwriting adjustments that were made in January of 2009. At year-end, over 50% of the total portfolio was comprised of loans originated post underwriting changes. HDFS's retail market share of new Harley-Davidson motorcycles sold in the U.S. was 47.9% for the full year of 2010, down approximately 1% compared to last year. Regarding competition, we continue to see increased activity particularly in the primary customer segment. At the end of the fourth quarter, of the approximately $6.2 billion of net finance receivables, $5.4 billion were retail and $814 million were wholesale. Now moving on to delinquencies and losses on Slide 19. We continue to see good credit performance on loans originated after the underwriting adjustments were made in 2009. The 30-day delinquency rate for managed retail motorcycle loans at December 31, 2010, was 5.07%, an improvement of 144 basis points compared to last year. Annual retail credit losses improved by 75 basis points to 2.11% for 2010, driven by lower frequency of loss, the impact of changes in underwriting and improvements in the recovery values of repossessed motorcycles. We are pleased with the progress at HDFS in 2010. During the year, we maintained a strong liquidity position, reduced our cost of funds and returned to profitability. We remained focused on enabling retail sales of Harley-Davidson motorcycles while providing an appropriate return to Harley-Davidson Inc. And I'm also pleased to report that last week, HDFS paid $125 million dividend to Harley-Davidson Inc. So in conclusion, we are encouraged by the forward momentum in HDFS, and I believe our employees have done a fantastic job managing the business in a difficult environment. So we remain cautious, given the continuing economic challenges with unemployment at over 9%, and as our book of loans declines as a result of lower wholesale shipments and retail sales in North America over the last couple of years. Now let me turn it back to John.
John Olin: Thanks, Larry. We are pleased that HDFS returned to profitability in 2010 and continue to provide credit for our Harley-Davidson dealers and riders while delivering appropriate returns and profitability. Now let's take a look at cash and liquidity on Slide 20. During the quarter, we utilized $381 million of cash on hand to repurchase nearly half of the unsecured notes that were issued at 15% in February 2009. You'll see that at the end of the quarter, we had $1.16 billion of cash and marketable securities, which includes the impact of a $600 million asset-backed securitization transaction that HDFS completed during the quarter. In addition, HDFS had approximately $1.16 billion of available liquidity to bank credit and conduit facilities. Earlier this month, there were two transactions related to cash. First, we made a $200 million contribution to our qualified pension plans, which will reduce our year-end pension and post-retirement liability of $537 million. And second, as Larry mentioned, HDFS paid a dividend of $125 million to H-D Inc. This is the first time HDFS has returned capital to H-D Inc., which is reflective of HDFS's reduced capital needs based on lower finance receivable balances. HDFS remains focused on delivering an appropriate return on equity and prudently managing its debt-to-equity ratio. Our overall cash strategy continues to require maintaining a minimum of 12 months of projected liquidity needs in cash and/or committed credit facilities. Now I'll review the remaining Harley-Davidson Inc. financials on Slide 21. I'd like to highlight a few items on this slide. First, with regards to continuing operations, the company generated operating cash of $1.16 billion during 2010, and the Motorcycle business continued to generate strong cash flows. Of the total, the Motorcycles and Related Products segments generated $622 million of operating cash. And second, for the full year, our effective income tax rate from continuing operations was 33.5% compared to 60.5% in 2009. The 2009 effective tax rate was unfavorably impacted by a one-time tax charge related to Wisconsin tax law change and a nondeductible goodwill charge, as well as the impact of reduced earnings. The 2010 tax rate was favorably impacted by the settlement of an IRS audit and an increase in the tax benefit related to domestic manufacturing offset by tax impact of federal healthcare legislation. In 2011, we expect the full year effective income tax rate will be approximately 35%. In terms of discontinued operations, as most of you know, we concluded the sale of MV Agusta in 2010. During the year, losses on discontinued operations, net of taxes, totaled $113.1 million. In summary, the full year 2010 results are on Slide 22. While the global economy continued to struggle, we had net income of $259.7 million from continuing operations in 2010, which was up significantly from the prior year. Earnings were impacted by improved operating margins for the Motorcycles and Related Products segment and strong HDFS operating income, partially offset by a one-time charge on the repurchase of $297 million of debt. We are pleased with the progress of our restructuring of the company and we are encouraged by the moderation in the rate of retail sales decline from the third to fourth quarter of 2010, as well as the strength of our brand as evidenced by our increasing share in many of our markets. We are also optimistic about the long term as we execute against our strategies to transform and grow our business. We do, however, remain cautious as we transition into 2011, and we'll continue to take a prudent approach as we manage the business throughout the year. On Slide 23, you will see that for 2011, we expect Harley-Davidson motorcycle shipments to be between 221,000 and 228,000 units, up 5% to 8% from 2010. During 2011, we will continue to aggressively manage shipments in line with retail demand. In 2011, we plan to ship [indiscernible] motorcycles to dealers, and we expect [indiscernible] retail, primarily in response to a stronger-than-expected fourth quarter 2010 retail sales which resulted in the aggregate U.S. dealer inventory level dipping below what we view as an appropriate level. We expect 2011 gross margin to be between 34% and 35% for the full year, and we'll continue to carefully manage capital expenditures. In 2011, we expect full year capital expenditures to be between $210 million and $230 million, which includes between $60 million and $75 million of capital related to restructuring. As we look back on 2010, we're pleased to see progress on many fronts. We increased our focus on Harley-Davidson brand as we exited Buell and MV Agusta. We made great strides toward becoming best in class in manufacturing and product development by moving to a common operating system, focusing on core competencies, negotiating a transformational labor agreement with the Wisconsin unions, reducing our time to market for new products and driving a continuous improvement mindset across the company. We focused on our international business by entering new markets such as India and positioning ourselves to add more dealerships in markets such as Brazil. We also returned HDFS back to profitability. And finally, we improved our financial strength by increasing operating margins, reducing debt, increasing returns on invested capital and by continuing to deliver strong cash flows. We believe by prudently managing the company and remaining disciplined in the execution of our future growth strategy, we will continue to make progress along our journey to growth. We are focused on delivering strong margins, strong returns and value our shareholders. Thank you for your continued confidence and investment at Harley-Davidson. And now let's open the call up to your questions.
Operator: [Operator Instructions] Your first question comes from the line of Ed Aaron with RBC Capital Markets.
Edward Aaron - RBC Capital Markets, LLC: I wanted to drill down a little bit more into the thought process behind shipping ahead of retail in 2011. Inventory out there, clearly, is pretty low, but you've been so focused on managing down supply to get pricing of new and used bikes to firm up and get the mix to shift back more in favor of new. Is there anything to suggest that that mix shift is starting to happen? Or should we interpret that based on your plans to ship ahead of retail in 2011?
Keith Wandell: Well, as we look at the fourth quarter, again, we exceeded expectations at our retail sales in the quarter. And at this point, given feedback from our dealers and all the data that we have internally, we believe that inventories are too low as we exit the quarter. And therefore, we'll look to replenish a little bit, consequently ship more than we retail, which will be the first time that's occurred in several years to bring a little bit more balance to the inventory. The other question that you asked, Ed, is are we making progress against our strategy to improve used bike pricing through holding inventories or managing inventories very much aligned with demand. And we feel very good about where we're at. As we look across several data points, including wholesale, retail, survey data, we believe that Harley-Davidson used bikes values have improved and are above year-ago levels.
Edward Aaron - RBC Capital Markets, LLC: One follow-up to that. Can we interpret that the inventory gap that you're trying to narrow is entirely a reflection of the upside to your own Q4 retail expectations? Or is this something that you may be contemplating even before Q4? Just some color on that might be helpful for us to understand the magnitude of the gap that you're looking to kind of fill in 2011.
Keith Wandell: The primary driver of our decision to ship more than we retail next year was the very strong quarter that we had, a little bit above what we expected in the U.S.
Operator: Your next question comes from the line of Rod Lache with Deutsche Bank.
Rod Lache - Deutsche Bank AG: I was wondering if you could talk a little bit more about the margin outlook, both gross and operating. Your gross margin in 2010 was a little bit over 34%. You're talking about higher production volume, and it should be about 100 basis points of cost savings, based on your table, hitting the gross margin line. I'm just wondering first of all, can you maybe elaborate on why the margin guidance is in the 34% to 35% range? What are some of the headwinds? And then also, how should we be thinking about operating expenses going forward? On Slide 16, you showed kind of a $3.8 million drag from higher SG&A in the quarter and $34 million for the year. That's 64% of your savings, so far, than in the SG&A. How should we think about the SG&A level as we proceed net of some of the investments you're making?
Keith Wandell: Let's start with gross margin. Clearly, during 2010, we're very pleased with gross margin. Out of the four quarters, we improved gross margin for three of them. I think the first quarter was down about 0.5%, and then obviously, the fourth quarter was very strong largely because we lapped the Buell exit costs of a year ago. As we look forward, Rod, our guidance is that we expect gross margin will fall between 34% and 35% of revenue. As we look at that versus 2010, we believe that the gross margin will benefit from continued productivity and restructuring savings. And again, the restructuring that we provide, I think the midpoints were somewhere in the neighborhood of $50 million that will hit cost of goods sold. We also think that we'll benefit from incremental margin from the higher production volumes behind our shipping guidance of being up 5% to 8%. And then expect a very modest mix favorability. So to your question as to the headwinds, is there are some, we expect them to be partially offset by foreign currency exchange, temporary inefficiencies at our York facility as we continue to outsource non-core parts and as we cut over our assembly operations to new line later in the fall. And then finally, we're expecting higher raw material cost.
Rod Lache - Deutsche Bank AG: Can you quantify those inefficiencies or the raw material headwinds for us?
Keith Wandell: No, I can't, Rod.
Rod Lache - Deutsche Bank AG: And then what about the operating expenses outlook? There's some savings and there's some investments. What should we be thinking about as a level on a dollar basis or any kind of color can you provide for us on that?
Keith Wandell: As you know, we don't provide SG&A guidance. But in terms of color, certainly, on a full year basis, we were up $34 million or about 4%, and that was driven by three things primarily, and that's Brazil, which we talked about. STIP is the other piece of it, and as we look at 2011, STIP is now back in our big spending. So it was largely out of 2009, it's back in, so we don't expect headwinds from STIP in SG&A. And then the final piece is investment in future growth opportunities. We believe there are a lot of opportunities, and we're going to go after them. As we look forward, we'll aggressively manage our expenses. But let's be very clear that we're also going to invest in the future, and that future includes investing in such things as new products and technologies, our international infrastructure and expansion and our outreach marketing efforts. And we believe that we're well positioned for growth once the economy improves. Finally, as we talked about, as a percentage of revenue to 2014, we expect SG&A to decline.
Rod Lache - Deutsche Bank AG: So would it be fair to say that it will go up on an absolute dollar basis from here, but as a percentage of revenue, it will decline? Is that what you're sort guiding to?
Keith Wandell: Well, we don't provide any guidance on SG&A.
Operator: Your next question comes from Sharon Zackfia from William Blair.
Sharon Zackfia - William Blair & Company L.L.C.: Just a follow-up on the gross margin question, John. You talked about inefficiencies at York. Are there particular times of the year that we could expect those inefficiencies to be more apparent in 2011?
John Olin: I can't provide quarterly splits, but the transformation will continue throughout 2011 at York.
Keith Wandell: This is Keith, Sharon. When you think about what we're doing in our complete manufacturing transformation, we're sort of getting right into the middle of it right now. So in 2011 and on into 2012, a lot of changes occurring at York particularly, that there'll be a lot of changes occurring in Wisconsin and Kansas City as well. So there will be some cost inefficiencies like when you think about all of the parts that are being outsourced as an example. And until we sort of get through that whole process, there will be some inefficiencies, but we expect coming out of the other side of that, we're going to be much more efficient.
Operator: Your next question comes from Tim Conder with Wells Fargo.
Timothy Conder - Wells Fargo Securities, LLC: You said, I think, in the third quarter conference call and then also at the analyst meeting that you're about half way through your desire to get that used bike price gap narrowed with the new and that you had made progress and that the implication was that you would under-ship the U.S. market. Again, I'm just trying to bridge those statements then versus now and how you're going to be shipping more product into the U.S. market. If you can go over that again, John or Keith, and kind of bridge those statements. Because again, we're in the off-season here during the winter, and it would seem kind of hard that things swung that much. Or were you being excessively conservative originally?
John Olin: No, I think that we've had a very good fourth quarter, higher than what we expected. And based on feedback from our dealers and looking at our overall data that's available, we're a little bit low, and we expect to replenish a portion of it.
Keith Wandell: Tim, we're trying to -- just like everybody else here, right, we're trying to sort out what's going to happen in the economy. And so we said in a lot of earlier comments, we're going to continue to take a measured approach. Clearly, when we look at our inventory across the system, some dealers are in better shape than others. And there's been some mix issues in terms of higher-end product selling. So we're trying to take all those things in consideration and trying to make sure that we account for possibly a modest growth in retail sales and really get sort of the inventories back in line across the system and the entire mix across the product lines.
Timothy Conder - Wells Fargo Securities, LLC: And then a clarification on your EU market share. I think you said you're number two. But do you have the actual percentage market share that it stands at year-end now?
John Olin: For Harley-Davidson?
Timothy Conder - Wells Fargo Securities, LLC: Yes.
Amy Giuffre: 12.7%.
John Olin: 12.7%. 6/10 of a percent.
Operator: Your next question comes from Craig Kennison with Robert W. Baird.
Craig Kennison - Robert W. Baird & Co. Incorporated: As used bike prices rise, I would assume Harley owners have something more of value to trade. Are you seeing more riders take advantage of the higher trade-in value? And if so, is there a metric that you can share that would illustrate that particular trend?
John Olin: No, our data isn't that fine. Craig, we've been very focused on closing the gap between new and used bike pricing. We feel very good about where the total demand is for our bikes. Actually, through November, total demand was up 2.9% for Harley-Davidson, and that was driven by used bikes sales. New bikes sales through November were up about 11.6%. And so we see a lot of used bike clearing, and with that, we're seeing wholesale and used bike prices strengthening, closing that gap. And a lot of the data is coming from various surveys and publications, and all we can say is that it is better than it was a year ago, and it has been improving.
Craig Kennison - Robert W. Baird & Co. Incorporated: So maybe a follow-on with HDFS data, are you able to say what percentage of customers used a trade-in for sale this year versus last year? Anything along those lines?
John Olin: I don't have an exact percentage. I would say we are seeing a fair number of customers who had a trade at the time they purchased their new motorcycles. So it's probably up a little bit, but we don't have any exact percentage for you.
Operator: Your next question comes from the line of James Hardiman with Longbow Research.
James Hardiman - Longbow Research LLC: Just wanted to focus a little bit more on the shipment guidance for 2011. You're looking at shipment growth of 5% to 8%. If you sort of just assume 1:1 wholesale to retail, it doesn't assume much growth at retail. By my math, I'm looking at down 1% to up 2% based on your guidance. Am I looking at that the right way? Is that basically what you're assuming, flat to down retail? Obviously, you don't have a crystal ball on what 2011 is going to look like, but can you give us any sort of color on your thoughts for retail in the year?
Keith Wandell: James, we don't provide any forward guidance on retail sales. But when you look at the year, in 2010, we retailed 222,000 units and we shipped 210,000. So we're looking at 221,000 to 228,000 and also the fact that we're going to ship in a little bit more than we retail.
James Hardiman - Longbow Research LLC: So the lower end of your shipment guidance, 221,000, if they sell that same amount at retail, that's actually a retail decline. Am I thinking about that the right way?
Keith Wandell: I'm not going to comment on the math.
James Hardiman - Longbow Research LLC: The timing of the replenishment of inventory at retail, it sounds like from a lot of your comments that it was primarily a fourth quarter issue. Obviously, you've got some seasonal patterns for your production and shipments. How quickly do you think you'll get caught up? I mean, do we think this will be a model year 2011 event? Do you think you'll be caught up by the model year crossover? Or is this really a full year type of an issue?
Keith Wandell: James, we'll certainly be caught up by the end of the year. How quickly, it really depends on several things. We provided first quarter guidance, which is down 5% to up about 4% or 51,000 to 56,000 units.
James Hardiman - Longbow Research LLC: So there's sort of no comment on whether or not the first quarter will get you to sort of being back in a one-to-one sort of mode?
Keith Wandell: No, all we can say is by the end of the year, we expect to replenish some of the inventory, and that's all I can comment on.
Operator: Your next question comes from the line of Robin Farley with UBS.
Robin Farley - UBS Investment Bank: I wonder if you could comment on your U.S. retail sales in 2010. How many older model year bikes were included in the retail units sold?
Keith Wandell: In 2010, I can talk to a couple of things, Robin. Number one is versus where we were a year ago, we feel much better about the mix of model years in our inventory. And we're much cleaner, much more newer-model years and in line with where we'd typically been at this point in previous years. A year ago, we had an inordinate model year '09 carryover units.
Robin Farley - UBS Investment Bank: Also can you give us a sense in your retail sales, what was the mix of model years, even just a wide range, even just a ballpark range to get a sense of how much of what was sold in 2010 was an older model year?
Keith Wandell: I don't have the overall number on a full year basis, and we look at it in terms of what we have carried over in July. And that was significantly lower than a year ago. And right now, we feel very comfortable that we've got the right mix between model years and largely between families in the system. While there's various imbalances at dealer levels, we feel, overall, very good. I don't have in front of me what the overall split was between model year sales.
Robin Farley - UBS Investment Bank: I guess I was just trying to get a sense of when we look at units sales from 2010 and the older models probably selling at a discount to MSRP, to get a sense of what sales might look like in 2011 with the current model year MSRP being higher than maybe where the price level for some of the older model years were sold last year, just how much that may impact unit sales. All else being equal, that units are at X percent more expensive if they're current model year versus previous. That's what I'm trying to get a sense of, that mix.
Keith Wandell: Well, from a new bike pricing standpoint, model year '10 and '11 are largely selling at MSRP as we exit the fourth quarter, Robin. We've got very limited number of model year 2009 in the system, and we sell it modestly below MSRP, but you're talking a few percentage points of what we have in inventory. So as we go into 2011, we are very clean, and we're not running any promotions at a corporate level to move motorcycles. We feel great about where we're at, and as we've mentioned before, we feel that inventories are very tight out in the system at this point.
Operator: [Operator Instructions] Your next question comes from the line of Greg Badishkanian with Citigroup.
Gregory Badishkanian - Citigroup Inc: I was just wondering, maybe talk a little bit about U.S. retail sales. From what we saw, it was a nice pick up in December. If that was the case, kind of what do you think was driving the sales? And also, did the dealers come back to you and mention that they could have sold more if they had more inventory, so maybe sales could've been higher if you have the right inventory at the retail level?
Keith Wandell: On the question about the dealers, we get all kinds of feedback from our dealers. It's a range of all those answers. I think to sort of boil it down, the answer to that question is no. Some of our dealers have sold more Touring bikes, as an example, and are saying, "Hey, we could use some more Touring bikes." But I don't think [indiscernible] are saying, "If I had more bikes, we can sell more bikes." So I think that, as John mentioned before, we feel pretty good about where our inventory levels are at. We feel pretty good about where our mix is at. We feel good about sort of the moderation of sales year-over-year in the fourth quarter. And we're cautiously optimistic that there might be some pent-up demand out there. But we'll see. I mean, we just don't know at this point in time. That's why we're taking the measured approach that we're taking here.
Gregory Badishkanian - Citigroup Inc: Did you see the pickup in December, and if so, kind of what do you think drove that lift in sales?
John Olin: We don't split out the months within the quarter. But within the quarter, we're very pleased, particularly with our share. Our share was up significantly in the fourth quarter. And we believe a lot of the share pickup was due to the success of our model year 2011 motorcycle that we released in July and clearly, that world-class dealer network and incredibly powerful brand, the loyal customers. And we've had great success on outreach segments, such as women and youth. And then finally, we believe that the firming up of used bikes prices are also contributing to new bikes sales.
Operator: Your next question comes from the line of Patrick Archambault with Goldman Sachs.
Patrick Archambault - Goldman Sachs Group Inc.: First of all, just on dealership closures. I think you said you have 36 this year. Is there a kind of an anticipated kind of a number for 2011 that you expect? Are there sort of a number of dealership points that you are sort of looking to improve the throughput of some of your franchises there?
John Olin: We're not providing a forward-looking number. We do expect that we'll continue to receive some contraction, Patrick. And we're always working to balance the dealer profitably with the availability of product proximity to our customers.
Keith Wandell: What we do know, Patrick, is we understand exactly which markets that we consider to be over-dealer. And so we have a sort of laser focus on how we're trying to work through the consolidation of those dealers in those markets. And we feel sort of good about where we're at in the process.
Patrick Archambault - Goldman Sachs Group Inc.: So would you say that it's something that you're fairly close to being done in terms of that foot-printing? Or it's still something that's kind of ongoing probably for the next couple of years?
Keith Wandell: We're not going to talk about how long it's going. We're always looking to improve and tighten up our dealer network, but we do expect some continued contraction due to the downturn.
Patrick Archambault - Goldman Sachs Group Inc.: Quickly on raw materials. Obviously, steel prices have gone up a lot fairly recently. Can you just give us a sense of -- just remind us again of what your steel contract price mechanisms look like, how much has passed through, how much is locked in. If you do see that continued ramp up in hot rolled and other things like stainless, what's the cadence at which that's sort of is likely to impact you guys?
Keith Wandell: Let's broaden it to the overall metal context. There's not a whole lot of financial hedging opportunity available to us. So we do try to protect prices at times through forward-buys and working directly back with the mills. And we have seen prices rise, and we expect a continued flow-through of prices that have already risen to come through our supply chain and increases in 2011 as well. But when we look at it in aggregate, overall, the raw material cost related to metals are only about 7% of our cost of goods sold in general. So while we expect a rise, it's still a pretty manageable number.
Patrick Archambault - Goldman Sachs Group Inc.: As you said, there's probably limited hedging, but there are forward contracts, I imagine, that you lock in with suppliers that can at least sort of delay these increases for a year or something like that. Is that correct?
Keith Wandell: That is correct, and we take advantage of some of that at different times for various reasons.
Patrick Archambault - Goldman Sachs Group Inc.: Last one, just a housekeeping one, provisions. Can you just run us through the quick, you know, sort of provision levels and charge-offs for HDFS?
Lawrence Hund: Sure. Our allowance at the beginning of the quarter was about $182 million. We had $24 million was the provision this quarter. A little over $32 million was charge-offs, and therefore, we ended up with an allowance at the end of the year of a little over $173 million.
Operator: Your next question comes from the line of Ed Aaron with RBC Capital Markets.
Edward Aaron - RBC Capital Markets, LLC: I think you said it sounds like it's going to be slightly favorable in 2011 versus 2010. I guess I'm wondering why it might not be a bigger benefit just given that Touring seems to be the family where dealers are most under-inventoried. And then also, there's some interfamily mix stuff going on that seems like it could continue to benefit you. Are there any offsets to that or how should I be thinking about that?
Keith Wandell: Well, we're very pleased with the performance of all our new products. And if you look at the lower end in terms of margins, Sportster is doing very well, which will help offset some of the continued trading up that we're seeing. 2011 will lap some of the opportunity that we have in the power pack and ABS options that have performed very well. So again, we're seeing customers continue to trade up within family, but we're also bringing very exciting products to market such as the 48 and SuperLow 883. And so again, when you look at it, we're expecting very modest increase in mix.
Operator: Your last question comes from the line of James Hardiman with Longbow Research.
James Hardiman - Longbow Research LLC: Is there any way you could quantify -- obviously, the SG&A number was the highest it's been all year. I think it was higher than the number for last year if you back out the one-time warranty expense from last year. Can you give us the numbers behind one, the renegotiation of the Brazilian contract, and two, the accruals for employee comp. Can you break those down at all or at least give us an indication of, ex those numbers, what the SG&A number would have looked like?
John Olin: James, I don't have the exact number for Brazil. What we said in the 8-K that we released was that it was an overall impact of about $0.05 to $0.06 per share. We don't provide a breakout of our line items in SG&A. But again, it's a sizable number, and it was not in the 2009 base. It is now in 2010. And as we move forward, it won't be a headwind.
James Hardiman - Longbow Research LLC: If you take those two numbers out, would it have been less than last year's number, excluding the warranty number cost? Or do you even have that or know that?
John Olin: I'm not going to provide that.
James Hardiman - Longbow Research LLC: Looking at Slide 19 in terms of HDFS, it looks like 30-day delinquencies are at their lowest point since it looks like before 2006. We've sort of gotten back to 2008 levels in terms of annual loss rates. Is the delinquency number sort of a leading indicator? Does it indicate that maybe there's further room go in terms of the loss rates and incremental income at HDFS? Obviously, you're a long way away from peak earnings power for the motor company, but in terms of HDFS, you're not that far away. But does this indicate that there's more room to go here?
Keith Wandell: Well, clearly, we aren't going to give any forward-looking guidance, I would say. But is there correlation between delinquency and credit loss this year? Sure, there absolutely is a correlation there.
James Hardiman - Longbow Research LLC: I guess the question is historically, when you look at the change in those numbers, is it sort of a leading indicator, or am I reading too much into that?
Keith Wandell: I would say there is correlation. It is probably somewhat of a leading indicator for how you might do in the next quarter or two, but once again, we still have a tough economy out there with over 9% unemployment, so those numbers clearly can change.
Operator: Your final question comes from the line of Tim Conder with Wells Fargo.
Timothy Conder - Wells Fargo Securities, LLC: Kansas City, I know those negotiations are just starting here, but directionally, would you anticipate saving as much as Wisconsin? That would seem potentially aggressive, but just directionally any thoughts there? And then Brazil, with the changes there, is it reasonable within a year to 24 months expect that you would maybe double what you're doing currently in Brazil?
Keith Wandell: When you think about plants, obviously, the largest savings opportunity was in York, probably the next was Wisconsin, and the least would be Kansas City, just given sort of where we were already. But having said that, there are significant opportunities, and we think that we're going to open negotiations here yet this week. We think we have a great relationship with our employees. And what we're really trying to do first and foremost is to get a consistent world-class lean manufacturing process in place with standardized manufacturing systems. So not only can you look at the savings per plant, but then you look at the synergies across the entire network, and it's really exciting for us.
Timothy Conder - Wells Fargo Securities, LLC: So the individual plant, though, Keith, I mean, probably -- this is from what I just heard, and anticipated, it would be a little bit less than what you're getting out of Wisconsin, but obviously, it flows through the whole system of a collective umbrella benefit.
Keith Wandell: Exactly.
John Olin: And, Tim, with regards to Brazil, we're obviously very pleased with the agreement that we reached in Brazil. The agreement allows us to point new dealers, but I can't provide what we expect sales to do in Brazil. But again, it's a great market down there, and we've got the opportunity to grow it like we've done in a lot of other international markets, and we're very pleased at where we're at in that market.
Operator: There are no further questions at this time. Mr. John Olin, I'll turn the conference back over to you.
John Olin: Thank you for your time this morning. We appreciate your investment in Harley-Davidson.
Amy Giuffre: The audio and visual report for today's call will be available at harley-davidson.com. The audio can also be accessed until February 8 by calling (706) 645-9291 or (800) 642-1687 in the U.S. The pin number is 33939830-pound. If you have any questions, please give us a call at (414) 343-8002. Thanks, everyone.
Keith Wandell: Thank you.
Operator: This concludes today's conference call. You may now disconnect.